Operator: Good day, ladies and gentlemen, and welcome to the Full House Resorts, Inc. First Quarter 2013 Earnings Conference Call. As a reminder, today's call is being recorded. At this time, it is my pleasure to turn today's call over to Mr. William Schmitt of ICR. You may begin.
William R. Schmitt: Thank you, Andrea, and good morning, everyone. By now, you should have access to our earnings announcement and Form 10-Q, which was filed with the SEC. These may also be found on our website at fullhouseresorts.com under the Investor Relations section. Before we begin our formal remarks, I would like to remind everyone that part of our discussion today may include forward-looking statements. These statements are not guarantees of future performance and, therefore, undue reliance should not be placed upon them. We refer all of you to our recent filings with the SEC for a more detailed discussion of the risks that could impact the future operating results and financial condition of Full House Resorts. I would now like to introduce Andre Hilliou, Chairman and CEO of Full House Resorts. Andre?
Andre M. Hilliou: Thank you, Bill. With me today on the call is Mark Miller, our Chief Operating Officer; and Deborah Pierce, our Chief Financial Officer, who will assist me in reviewing our first quarter results. Overall, we are pleased with our first quarter 2013 performance, despite additional competition at Rising Star Casino and an ongoing weak economy. First, our Silver Slipper, where performance has been gradually improving despite a difficult environment and a tough January. This is the second quarter Silver Slipper results are included, and we are encouraged by the recent changes we have put in place, which are beginning to yield improved results. We are still evaluating opportunities to put a much needed hotel at our property, and we expect to have positive news to report on this in the near future. Our Rising Star Casino experienced a challenging quarter compared with the prior year. Revenue was down for the prior year due to increased competition in Columbus and Cincinnati. For the quarter, our property management team continued to execute on its strategy to proactively manage our cost structure and focus on our profitable customers in response to the decline in revenues. As a result, we were able to maintain EBITDA margin of close to 14% despite a 13% decline in net revenue. We are currently evaluating the impact of the new competition in Ohio and making additional adjustment to our cost structure and marketing strategy. Our customers come to our casino for a specific experience and are generally from the suburbs versus urban areas. Further, construction on the new third-party hotel at Rising Star is on schedule, and we expect it to significantly improve the overall performance upon its opening in the first quarter of this year. Our northern Nevada operations performed well and better than expected. EBITDA for the quarter was nearly double from the prior year period, due primarily to improved results at our Grand Lodge Casino. Last month, we announced that our lease for the Grand Lodge Casino at Hyatt Regency Lake Tahoe Resort in Incline Village, Nevada has been extended to August 31, 2018, from its original expiration of August 31, 2016. With this extension, we now plan to invest in the new casino management system for the Grand Lodge Casino, as well as further improvements that will enable us to better service our customers and benefit the property for the long term. Overall, we are very pleased with the performance of our properties and our team members as we generated adjusted EBITDA of $5.7 million for the quarter compared to $5.2 million in the prior year period. I will now turn the call over to Mark to go into more detail about the financial results for the quarter, and I will close later with a few additional comments. Mark?
Mark J. Miller: Thank you, Andre. Deborah and I will review a few highlights of our first quarter 2013 financial performance and condition before we respond to questions you may have. I will be discussing operations and financial results at our properties, and Deborah will follow up with our consolidated Full House Resorts financial results and financial position. In the first quarter of 2013, our Silver Slipper Casino generated revenue of $13.7 million and adjusted EBITDA of $2.8 million. These results were slightly less than expected due entirely to a weak January. February, which historically is the best month of the year, as well as March, were slightly ahead of the prior year. This reflects the same revenue trends that were experienced in most regional markets. We are currently in the design and pricing phase for a hotel at the property. Just a reminder, the Silver Slipper Casino currently does not have any hotel rooms, and we believe this project will provide the property management team with a much-needed tool to extend loyal and profitable customer visits. While it's still too early to discuss specifics of this project, we are making steady progress and expect to have an announcement on our plans in the near future. Rising Star generated a revenue of $19.6 million in the first quarter of 2013 compared to $22.6 million in the prior year period, primarily due to the increased competition from Ohio, as well as generally weak consumer spending environment and poorer weather versus last year's unusually mild winter. However, despite the $3 million decline in revenue, adjusted EBITDA for the first quarter of 2013 was $2.7 million versus $3.1 million in the prior year quarter due to successful cost containment. As expected, competition from Ohio has begun to enter the market. Two competitors opened in Columbus, Ohio in June and October 2012, respectively, and the Cincinnati casino opened a little over 2 months ago. These new entrants have had a significant but not unexpected impact on our business during the introductory period, and we are currently assessing their long-term impact as we make adjustments to our operations and cost structure. It is important to remember that all of this competition was anticipated when we purchased the Rising Star Casino slightly more than 2 years ago and was reflected in the $43 million deeply discounted purchase price we paid. We have been working very hard with our Indiana legislators to obtain some financial relief due to the increasing competition and are happy to report that we anticipate legislation will soon become law and provide meaningful reductions in our gaming taxes over the next couple of years. We appreciate the effort of all of those involved, especially our General Manager, Steve Jimenez, and intend to continue working for additional measures, which would ensure that we and the rest of the Indiana gaming industry remain competitive and viable. As Andre indicated, we expect the new third-party 104-room hotel located adjacent to our existing facility to open in Q4 of this year, and that will increase our hotel room capacity from 190 rooms to 294 rooms. Our existing hotel continues to run over 90% occupancy nearly all of the time. So we believe this additional capacity will provide the team with a much-needed increase to drive and reward profitable gaming revenues. Our northern Nevada operations, consisting of Stockman's and Grand Lodge Casinos, contributed approximately $5.3 million in revenue and adjusted EBITDA of $1.1 million for the 3-month period ended March 31, 2013, versus revenue of $4.9 million and adjusted EBITDA of $0.6 million in the prior year period. Adjusted EBITDA improved for the quarter due to stronger results at our Grand Lodge Casino, where we are benefiting from both higher revenues and a lower cost structure. Buffalo Thunder recorded management fees in the first quarter of $0.5 million, reflecting the base fee plus success fees as we exceeded the incentive target for the quarter. We are pleased that Buffalo Thunder revenues and operating profits improved steadily throughout the quarter, ending with a very strong March. I will now turn the discussion over to Debbie who to discuss our quarterly results and liquidity. Deborah?
Deborah J. Pierce: Thank you, Mark. For the first quarter ended March 31, 2013, the company recorded net income of $0.6 million or $0.03 per share compared to net income of $25.8 million or earnings per share of $1.38 in the prior year period. Excluding a $40.8 million gain on the sale of our interest in Gaming Entertainment Michigan, otherwise known as GEM, and the associated FireKeepers management contract and a $1.7 million pretax loss on debt extinguishment in the first quarter of 2012, earnings per share would have been $0.03 for the prior year quarter. The first quarter 2013 and 2012 results were both based on a weighted average common shares outstanding of approximately 18.7 million. For the 3 months ended March 31, 2013, total revenue increased $5.8 million or 17% compared to 2012, primarily this was due to a $13.7 million addition to revenue from the Silver Slipper, which we purchased on October 1, 2012, and partially offset by a $5.3 million decrease in our development management revenue due to the sale of GEM, as previously discussed, and a $3 million decrease in Rising Star revenue. The $5.3 million decrease in our development management segment revenue was attributable to the decrease in FireKeepers management fees due to the sale of our interest in GEM and the FireKeepers management agreement, which closed on March 30, 2012. Operating expenses of $36 million in the first quarter of 2013 were up $8.3 million from the prior year, primarily due to the addition of the Silver Slipper. And this was partially offset by a $2.9 million in reductions in operating expenses, including depreciation at the Rising Star and a $0.7 million in lower operating costs for our development and corporate operating costs. As Andre mentioned earlier, EBITDA -- adjusted EBITDA came in at approximately $5.7 million versus $5.2 million in the first quarter of last year. Our interest expense increased in the first quarter of 2013 as a result of the Silver Slipper Casino acquisition. For the quarter, we had a $1.9 million in interest expense compared to $0.7 million in the first quarter of 2012. This consists of cash interest of approximately $1.4 million and amortization of debt costs of approximately $0.5 million. Our effective income tax rate for the first quarter of 2013 was 53% versus an effective rate of 38% in the prior year quarter. I refer you to our 10-Q for a more complete discussion of our tax rates. Our tax rate is very dependent on the amount and the distribution of our pretax income across our portfolio. As of March 31, we had a cash balance of $24.6 million, of which approximately $15 million is needed to fund our operations and $68.8 million in outstanding debt on our balance sheet. We had prepaid our April 1, 2013 scheduled first lien amortization payment of approximately $1.3 million in the fourth quarter of 2012. In addition, we had a favorable debt structure with a net leverage of less than 2.5x adjusted EBITDA. Our next scheduled amortization payment will be on July 1. We currently expect that we will use a substantial amount of our excess cash to invest in the Silver Slipper hotel project later this year. As we mentioned in our last earnings call, in February 2013, we've successfully amended the Silver Slipper Casino land lease to extend its term to the year 2058 from its original termination date in 2028. The amendment also extended the deadline to exercise the $15.5 million option to purchase the land to 2027 from its original deadline of 2017. And this amendment will ultimately provide us with additional financial flexibility as we continue to grow the company. Capital expenditures for the quarter were approximately $1.2 million. We continue to anticipate spending between $6 million and $6.5 million on our 2013 CapEx program, including the new casino management system at Grand Lodge that Andre mentioned earlier. With that, I'll turn it back over to Andre for a few final comments before we open it up for questions.
Andre M. Hilliou: Thank you, Deborah. We are pleased with the quality of our management team and the proactive management of cost during this challenging period. Our strategy to position the company to primarily an owner and operator of regional casino properties from a management company is reflected in our results. We believe that we are well positioned for the future, as we continue to look for additional casino assets and management opportunities that match our operational criteria and will create long-term shareholder value. Thank you, and we'll now open up the call for questions.
Operator: [Operator Instructions] We'll hear first from Justin Sebastiano with Brean Capital.
Justin T. Sebastiano - Brean Capital LLC, Research Division: So it looks like Rising Star did pretty well in the beginning of the quarter and then March had a tough month with Horseshoe opening. And then April, according to Indiana Gaming Commission, it looks like table drop and slot handle both fell over 20 -- 24% year-over-year. Is this in line with your internal estimates? And do you think this is the height of the cannibalization?
Andre M. Hilliou: Mark?
Mark J. Miller: Justin, I think you're right. The early part of the first quarter was -- we're pretty good at Rising Star and then obviously, Cincinnati casino opened at the beginning of March. And as expected, we are taking a hit from them. I think the hit has probably been a little bit worse than we expected it to be but probably, within the range of our expectations. And we're just watching it very carefully right now to see what happens as the honeymoon or the grand opening period starts to wear off and see where we are. But it's still a little bit early for those trends to have fully developed. But again, I think the management team has done a great job there of preparing for this and managing their cost structure. And so far, through the first quarter, we were able to do reasonably well.
Justin T. Sebastiano - Brean Capital LLC, Research Division: Okay. And then with the hotel at Silver Slipper, what's, I guess, kind of slowing the process? Is it pricing that you're trying to find? Is it the -- is it finding the right scale of the -- or size of the hotel itself? Or because it seems like you guys have been talking about this for a little bit now. And I know you're very disciplined with your approach to things. So just want to get a sort of sense of what side of the equation is kind of maybe holding you back a little bit?
Andre M. Hilliou: Well, Justin, I'm going to -- go ahead, Mark.
Mark J. Miller: Well, I think, Justin, that we had originally hoped that the design that had been done by the previous owners would fit within our, what we think, is a reasonable cost. And we spent a significant amount of time diligencing that and trying to find some ways to salvage that design, I guess, is the better -- is the best way to put it. And after a significant amount of work, we basically decided that we needed to go back to the drawing board, and so that definitely did slow us down a little bit. And then, I think the second thing, Justin, is as we've said in the past, it's very important that this project be properly sized and that the price be the right price so that we can get what we consider to be a reasonable return on investment here. And so we are going through a very rigorous pricing process to make sure that we've got everything tied down. And when we say that we're going to build a hotel and we're going to build it for a certain amount, that we have the highest degree of confidence that we're getting the product that we want at the price that we can afford. And that process is just taking a little bit of time, but we think that it's time well invested. And when we're ready to push the button on this, we'll be ready to move quickly.
Andre M. Hilliou: And I want to add to that, Justin. We're also designing a hotel right on the shore. So it's not -- it's much harder to design a hotel on the shore. And of course, you know that we don't like surprises.
Justin T. Sebastiano - Brean Capital LLC, Research Division: Right, okay. Yes, I mean, from what I remember about the previous group, those plans were, I guess, now maybe a little stale and perhaps they were overbuilding for the market. I mean, is that as far as finishes and other things that are going into it, is that fair to say?
Mark J. Miller: A little more elaborate, Justin, than we would plan -- than that we plan to pursue.
Andre M. Hilliou: I think they were ambitious plans.
Justin T. Sebastiano - Brean Capital LLC, Research Division: Okay. And then just lastly, in the press release, in the EBITDA recognition, reconciliation table, you have the Kentucky project costs. Is this still alive? Do you have an agreement with Keeneland for the tracks and where are you on this?
Andre M. Hilliou: Well, Justin, we have not made any comments on Kentucky. And as you know, gaming regulations take time and Keeneland is not any different than any other state. So at this time, we really frankly can't say much about it.
Operator: Our next question will come from Chad Beynon with Macquarie.
Chad Beynon - Macquarie Research: Just a high-level one to start. Notwithstanding any new competition in the regional market, it seems like most of the regional gaming management teams have kind of pointed to a weak consumer from the payroll tax expiration and gas prices and then also from the impact from the delay in tax refunds and also kind of highlighting weather. And I'm wondering if you could provide any additional color regarding how you see the consumers' appetite for gaming now that Americans have a better sense of what their paychecks will be and hopefully, they're getting some of these tax refunds in the mail.
Andre M. Hilliou: Mark?
Mark J. Miller: Well, Chad, I read the report that you issued, I think, it was yesterday. And I thought you -- your report was right on point. I think that we were definitely seeing softness in consumer spending. Weather was part of it during the first quarter, but I think that there's more going on here. We monitor the check cashing at our properties just like a lot of other properties do or companies do. And we definitely saw a change in the normal pattern, but I think that, that probably caught up for the most part in March and April. But we definitely are seeing softness in consumer spending. I think that our people on the ground just believe that the consumer is being very, very cautious, very concerned about what is still to come from Washington in terms of the fiscal crisis. And I think that's just all led to a very, very cautious participation rate. And I think that our view has been that it doesn't do us a lot of good to get real aggressive from a marketing perspective and until we see the revenue environment turn around a little bit. And so we have been very, very focused on managing costs and working with the management teams to make sure that we're doing everything we can on that side of the equation.
Chad Beynon - Macquarie Research: And then on the expense side at Rising Star, you noted that OpEx was down because you were comping against a quarter when you had some extra river dredging expenses. Are there any other type of these events that we need to think about from a modeling perspective as we kind of look out throughout the balance of the year at any of your properties?
Mark J. Miller: The dredging is the one big one, Chad. It cost us between $300,000 and $400,000 to dredge around that boat every time we have to do it. On average, it's about every 2 years. But it's very dependent on weather and how much flooding and the ebbs and flows of the river. So it's a little bit difficult to predict. But that's the biggest sort of variable cost, if you will, in terms of when it's going to happen. But I would say that's the only one.
Chad Beynon - Macquarie Research: Okay. And one last one, if I may, just kind of focusing on Nevada, Grand Lodge in particular. Based on the results that we saw from the Nevada market, it looks like that market, where Grand Lodge is, was up primarily because of sports betting. So I'm guessing there were a number of unhappy San Francisco 49ers fans at your property, who may have also lost some money at the tables. Anything else at that property that kind of changed during the quarter? Very strong results there. We're just trying to think about this if it was kind of a onetime event with the Super Bowl or if there's something else going on?
Mark J. Miller: I would say it's not very much related to the Super Bowl, Chad. Our sports operation there is very small, and we may have gotten a little bit of additional visitation because it was San Francisco. But -- and we held not outside the normal range, but certainly at the upper end of the normal range during the quarter at Grand Lodge. But we saw strength in both tables and slot revenue during the quarter, and we continued to benefit from some cost restructuring there we've done, some organizational restructuring we've done. And so in this particular quarter, we not only had lower costs, but we had a little bit higher revenues and as a result, obviously, very high flow-through. But I wouldn't pin too much of our first quarter results on the Super Bowl.
Andre M. Hilliou: I think, Chad, [indiscernible] as well what we are doing, we also focusing on the most profitable customers company-wide. So I think that's also helping.
Operator: [Operator Instructions] We'll hear next from Justin Ruiss with Sidoti & Company.
Justin Ruiss - Sidoti & Company, LLC: Actually, most of my questions got answered, but I did have one other question. I wanted to know just really how impactful is the increased competition in the Columbus area affecting you? Is that taking a lot of precedence at this point?
Andre M. Hilliou: Mark?
Mark J. Miller: Well, Justin, the Columbus market is a good market for us. And I think -- I don't think there's been a lot of change there over the course of the last couple of months. But it certainly impacted us in late 2012. And it's certainly still part of the change in the revenue environment that we see there. But most of the first quarter results or the impact, I think, probably are attributable to Cincinnati for the most part.
Operator: And with that, we have no further questions in the queue. It would be my pleasure to turn the call back over to our presenters for any final and closing remarks.
Andre M. Hilliou: Well, we would like to thank everyone for being with us today. And with that, we will end the call, and wish all of you a great rest of the week. Thank you.
Operator: And with that, once again, ladies and gentlemen, that does conclude today's call. Thank you for your participation, and have a great day.